Operator: Good afternoon. And welcome to the Chipotle Mexican Grill First Quarter 2019 Results Conference Call. All participants will be in listen-only mode [Operator instructions]. After today's presentation, there will be an opportunity to ask questions [Operator instructions]. Please note this event is being recorded. I would now like to turn the conference over to Ashish Kohli, Global Head of Investor Relations. Please go ahead.
Ashish Kohli: Hello, everyone, and welcome to our first quarter of 2019 earnings call. By now, you should have access to our earnings press release. If not, it may be found on our Investor Relations Web site at ir.chipotle.com. I will begin by reminding you that certain statements and projections made in this presentation about our future business and financial results constitute forward looking statements, including projections about comparable restaurant sales growth and new store openings. These statements are based on management's current business and market expectations, and our actual results could differ materially from those projected in the forward-looking statements. Please see the risk factors contained in our 2018 annual report on Form 10-K and in our subsequent Form 10-Qs for a discussion of risks that may cause our actual results to vary from these forward looking statements. Our discussion today will include non-GAAP financial measures. A reconciliation of these measures to gap measures can be found via the link included on the presentation page within the investor relations section of our Web site. We will start today's call with prepared remarks from Brian Niccol, Chief Executive Officer and Jack Hartung, Chief Financial Officer. Afterwards, we will take your questions. Our entire executive leadership team is available during the Q&A session. With that, I will turn the call over to Brian.
Brian Niccol: Thanks, Ashish and good afternoon, everyone. I'm very pleased to report strong Q1 results with 9.9% comparable restaurant sales growth that included 5.8% transaction growth; restaurant level margins up 21%, 150 basis points higher than last year; earnings per share adjusted for unusual items of $3.40, representing 60% year-over-year growth; and digital sales growing 101% year-over-year to represent 15.7% of sales. The ongoing improvement in each of these key metrics over the past few quarters gives us confidence that our mission to win today and cultivate the future is resonating. In fact, this is the fifth consecutive quarter of accelerating comps, which reinforces our view that when we connect with guests through culturally relevant marketing, focused on Chipotle's great taste and real ingredients, and provide more convenient access with less friction, they respond enthusiastically. The first quarter strong results were driven by the same strategic focus areas that we've talked about for several quarters now; being culturally relevant and increasing brand engagement and visibility; digitizing and modernizing the restaurant experience; great hospitality and throughput; and of course, enhancing our powerful economic model, all while building a great culture of accountability and creativity. We were definitely visible this quarter with unique marketing programs that celebrate our real ingredients and classic cooking techniques, as well as several initiatives that caught the attention of our guests. As you know, last fall we launched our four-wheel advertising, which showcase Chipotle's point of difference in real ingredients in real cooking techniques. We followed this up with our behind the foil campaign in February to showcase what is fully kitchen looks like every day; real fresh ingredients; real cooking techniques; and real people. Chipotle has always believed that there's a connection between how food is ready and prepared to how it tastes. And what I love most about these commercials is there was no studio, no script, no props and no actors. It was just our employees doing what they do best, which is making delicious food. In addition,Q1 also benefited from several other initiatives that made the Chipotle brand more visible in culturally relevant social and traditional media channels. Our free delivery bowl offering, which ran from December 17 to January 7, helped expand access and was not only a great way to attract new guests or app, and delivery capabilities, but also to Chipotle as nearly half of the guests taking part in this offer were new or last users. And we are seeing increased new customer retention with higher levels of delivery sales after the promotion. We also launched our first digital only menu innovation on January 2nd called Lifestyle Bowls. This resonate with consumers in a big way. In fact, during the first few days, it generated over a billion earned media impressions. Later in the quarter, we extended the Lifestyle menu platforms with plant-powered options, highlighting our Sofritas and Vegetarian Bowls. We're currently testing several other menu items to our stage-gate process and we’ll update you on their progress over time. And finally, we continue to drive awareness of our brand through a holistic media plan with national TV advertising on culturally relevant programming like March Madness, and always-on social media that resonates with our guests. Collectively, these marketing efforts help drive culture, drive the difference and ultimately drive the Chipotle purchase. This contributed to the lift in Q1 sales as evidenced by digital impressions increasing 300% year-over-year and social impressions increasing 400% year-over-year. We are pleased with the returns on our marketing dollars to-date and expect healthy returns from programs being worked on for the remainder of 2019. We’re also excited about Chipotle Rewards, which launched on March 12th. The stage-gate process allowed us to learn, enhance and optimize the program to ensure a better guest experience upon launch. And we're encouraged and have already enrolled 3 million members. The rewards or spend day where customers earn 10 points for every dollar spent and receive a free entrée after accruing 1,250 points with periodic bonus offer so real food becomes real treat real fast. In addition to allowing us to reward and thank our guests, we're beginning to gather data that can be used to more effectively target them to engage and grow their loyalty. The Rewards program gives us a currency that we can use to incept behaviors as a key part of our digital system flywheel. Our guests have been asking for a loyalty program for a long time and now the more you eat at Chipotle, the more you can get free Chipotle. We believe that Chipotle rewards will be a key element that will provide topspin for digital system, which was again a key driver of our sales growth. The digital system, which includes order ahead, delivery, catering, digitize second make lines, mobile order pickup shelf and now, Chipotle rewards, is creating a more convenient and enjoyable guest experience, making it easier to order food from Chipotle, however and wherever you like. To that end, I am pleased to share that we recently completed the addition of mobile order pickup shelves in all relevant restaurants. These self-service shelves are a key element in digitizing and modernizing our restaurant experience. As they increase access, speed of service and convenience for our guests, while building more love for Chipotle and driving digital sales. In addition, this is a key component to improve delivery times. The delivery driver no longer waits for orders when they enter our restaurant. They simply go straight to the shelf, select the appropriate order and head off to the delivery destination. We feel this is a competitive advantage and allows us to have industry leading delivery times. I want to thank our teams for their great execution on this initiative. Also with regard to our digital make lines, they're currently in approximately 1,300 restaurants and we expect to have them in all applicable restaurants by the end of 2019. Early results are showing that restaurants of mobile order pickup shelves and digital make lines generate digital sales above our national average. Through a combination of delivery, order ahead and catering, our digital sales accelerated from Q4 and grew 101% year-over-year in quarter one. Digital sales totaled $206 million during the quarter and represented 15.7% of sales. We also re-launched a new chipotle.com website in February that is helping increase customer conversion. We are pleased to be averaging more than 1 million digital transactions per week. Delivery remains a key driver of our digital growth given enhanced capabilities on our app and website, as well as our expanded reach. As I mentioned earlier, we are seeing some residual lift in delivery sales that last beyond any promotion. And I've seen very little guest overlap between our own in app delivery and our third party delivery partner apps. As part of our goal to increase access, we continue to open Chipotlanes and this test will ramp up later in 2019. These restaurants are a great extension of our digital system as they help increase convenience and access to Chipotle for customers looking to pick up digital orders without getting out of their cars. On marketing and digital, we're helping to bring guests into our restaurants, the operations team is determined to deliver a great experience that will keep them coming back. Specifically, we are focused on team stability and development, creating and supporting an inclusive engaged culture, exceptional throughput, consistently delivering great tasting food and food safety. Our field leadership conference last month allowed us to reiterate these messages, while also highlighting the theme that Chipotle is a people driven world class organization. The key part of this is to continue supporting and celebrating our general managers through better leadership training, providing a clear direction on career progression to ensure long term success and great benefits as illustrated by our enhanced tuition assistance program. While early, these efforts are beginning to make a difference. We experienced a solid reduction in overall turnover measures in Q1, which tells us we're on the right path with our people focused initiatives. We are now consistently executing line testings and leveraging chef food and cooking demonstrations to improve the quality of our food. And these efforts are being noticed by guests as measured by our guest experience survey. In addition to these outcomes, we are seeing a modest improvement in throughput, aided by training, focus and providing our teams with an easy to use dashboard that provides greater visibility on performance. We still have more work to do but I am encouraged by the progress thus far. And we are aligned in our approach and believe that great execution will enable Chipotle to capitalize on future growth opportunities. As we continue to evolve our brand and grow the business, it is an honor to welcome Patricia Fili-Krushel and Scott Boatwright to our board of directors. Pat is currently the CEO of the Center for Talent Innovation, and has previously held numerous leadership roles in Comcast, Time Warner and WebMD. Scott recently retired as CFO of Starbucks after a long and successful career. From contributions in global business strategy and talent management to finance and risk management, I'm confident both Pat's and Scott's perspectives and valuable insights will help us accelerate our goals. With that, let me conclude by thanking all of our team members for their belief in Chipotle. Their dedication and passion to provide our guests with a great experience, serving real food cooked to perfection and prepared in our restaurants with fresh ingredients. Whether I'm in our restaurants or in our support centers, I feel the energy and see the right actions being taken day-in day-out. It's this focus and strong execution that has brought us to where we are today. To care, hard work and dedication on the line, in the kitchen and in our support centers, are the reason we are winning in the marketplace. We're off to a great start in 2019. And with our sustained efforts, I believe Chipotle can cultivate a better world. With that, here's Jack to walk you through the financials.
Jack Hartung: Thanks, Brian and good afternoon, everyone. I'm very pleased to report another strong quarter as both comps and margins accelerated from our last report. The biggest lever to strengthening our economic model has always been comp sales and transaction growth. And the Q1 results illustrate that point as we achieved our highest restaurant level margin in nearly four years. Customer engagement and visits are increasing as a result of a compelling marketing message, more convenient access, including delivery and strong operations. Sales were $1.3 billion in the quarter, an increase of 13.9% from last year and comp sales growth of 9.9%. This 9.9% comp includes a reduction of 30 basis points as a result of deferred revenue from our loyalty program. Restaurant level margins of 21% extended 150 basis points over last year and earnings per share, adjusted for unusual items was $3.40, representing 60% year-over-year growth. The first quarter had unusual expenses related to the transformation, and these negatively impacted our earnings per share by about $0.27, leading to GAAP earnings per share of $3.13. In Q1, we recognized $7.5 million in non-recurring expenses, primarily related to the organizational restructuring. Transformation costs which started last year now total about $98 million, and we continue to expect these charges to total between $100 million and $120 million. The EPS of $3.40 include $7.3 million or $5.5 million on a tax effective basis. And G&A related to higher bonuses, higher non-cash performance based stock comp adjustments and higher employer payroll taxes, all related to our strong performance and the strong performance of our stock. The higher stock price also contributed to a tax benefit of 480 basis points in the quarter. The stock option exercises and RSU vestings at the higher stock price drove excess income tax deductions. This tax benefit offset the higher performance based costs included in G&A, resulting in no net impact to EPS. And I'll talk in more detail about these impacts later. Our Q1 comp of 9.9% was driven by a healthy acceleration in transaction as 5.8% of the comp came from greater guests visits. The higher average stock includes a price impact of roughly 2.5% and a mixed contribution of 2% driven by growth in digital orders, which have a higher average check. With the launch of our Chipotle rewards loyalty program, accounting rules require to deduct or defer revenue for anticipated reward redemptions in our current comp sales. This negatively impacted our Q1 comps by about 30 basis points. We're pleased that our customers have responded enthusiastically for our digital strategies and our culturally relevant marketing, which drove increased guest visits this quarter. And our restaurant teams welcomed our customers by providing a great guest experience. With these strong Q1 sales results, we're increasing our full year comp guidance from mid single digit to mid to high single digit range with price contributing about 2%. Our comparisons get more difficult as the year goes on. And for Q2 specifically, recall that last year's second quarter benefited by about 100 to 200 basis points, and the beginning of our partnership with DoorDash in May and from the start of our spring marketing campaign. Finally, the revenue deferral of 30 basis points in the quarter related to loyalty is expected to increase each quarter as we acquire more customers, and it's likely to hit 100 basis points or more before redemption cause the deferrals to level off. We opened 50 new restaurants in the quarter and returned for new restaurants continue to be strong with projected year two cash on cash returns in the low 40% range. Our development teams continue to emphasize high quality and high returning sites. For 2019, we continue to expect to open between 140 to 155 new restaurants with a waiting towards the second half of the year. We anticipate Q2 openings to be slightly higher than what we saw in Q1. Food costs for the quarter was 32.2%, a decrease of 20 basis points from last year as leverage from the December price increase was partially offset by higher protein prices. Our supply chain team drove approximately $2 million in cost savings through more efficient sourcing this quarter. And while we expect to find additional efficiencies, it's too early to quantify the impact, which we expect to materialize later this year or early next. Of course, our number one priority is to continue to pursue high quality sustainably raised ingredients and our pursuit of efficiencies will never be at expense of food quality or food safety. While avocado prices were stable throughout most of the quarter, in late March they began to spike based on higher demand from retailers who've been aggressively advertising the fruit combined with lower expected supply in the short term due to the reduced harvesting for an Easter holiday, and a lighter California crop this summer. We expect Q2 food costs to increase around 100 basis points from Q1. For the full year, we continue to believe food costs will be right around 33%. Labor costs for the quarter were 26.7%, a decrease of 110 basis points from last year. This decrease was driven primarily by sales levers and the menu price increase. We also decreased our workers' comp liability due to better management of claims activity, and we experienced lower unemployment expenses. These benefits were partially offset by labor inflation, which continues to be in the 4% to 5% range. We expect Q2 labor costs to be in the low 26% range as leverage from sales growth and the menu price increase is expected to offset ongoing wage inflation. Other operating costs for the quarter were 13.4%, an increase of 50 basis points from Q1 of last year and higher marketing and promo costs more than offset sales leverage. Marketing and promo costs were 2.5% in the quarter, an increase of about 70 basis points compared to Q1 of last year to fund our behind the foil campaign in February and free delivery bowl campaign in early January. We expect to increase our marketing investment to around 3.5% in Q2, but still expect overall marketing and promo budget for the full year to be right around 3% of sales. Other operating costs were also higher due to the inclusion of delivery fees. Delivery continues to be the fastest growing part of our business with high incrementality. And from a margin standpoint, because of the efficiency of our dedicated second make line along with the high leverage our economic models generates on incremental sales, delivery continues to be accretive for our margins. G&A for the fourth quarter was 7.8% of sales or $103 million, which included nearly $5 million related to transformation expenses, nearly $25 million related to non-cash stock compensation, higher bonus accruals related to our strong performance and payroll taxes and stock option exercises, along with $1.5 million for expenses related to our biannual field leadership conference. Without these items, our underlying G&A support totaled about $72 million right around what we expected. We expect our underlying G&A support to remain around this level for the rest of the year. And while total G&A each quarter should be lower than the $103 million in Q1 as we complete the transformation of our company and those related costs fall out. The total G&A each quarter will vary as a result of these performance based charges and the level of option exercises. As an example, stock comp in the quarter includes an upward revision of $1.9 million in our non-cash stock comp related to performance shares. Unlike stock options and restricted stock grant, the accounting expense associated with performance shares will adjust up or down each quarter over the vesting term based on actual performance. Our annual grants have evolved over the past two years to become more heavily weighted towards these BSUs with the percentage of overall equity grants growing from less than 10% in 2017 to about one third in 2019. While these PSUs, which are tied to improving margins and comps, are effective in aligning company performance and incentive pay for the creation of shareholder value, the variable accounting treatment can cause volatility in our recorded quarterly G&A cost. Another component of G&A that's difficult to project and will fluctuate quarter-to-quarter is the employer payroll taxes and stock option exercises and stock vesting. These costs will vary depending on the stock performance and the timing of when our employees choose to exercise. Depreciation expense for the quarter was $53.8 million, which included $1.8 million of accelerated depreciation related to our digital make line project progressing more quickly than initially anticipated. For the full year, we expect depreciation to be about 4% of sales. Asset retirements were higher this quarter as re-retired assets were identified last year as we completed the big pay. Our effective tax rate was 22% on a GAAP basis and 21% on a non-GAAP basis, both lower than our communicated range of 27% to 30%. Our effective tax rate benefited from option exercises and restricted share vesting and elevated stock prices. In essence, we receive a tax deduction for the value our employees receive upon option exercise or share vesting. And when that value exceeds the fixed accounting charge for those shares, we benefit from a higher tax deduction. For the remainder of 2019, we expect our underlying tax rate to be at the low end of our previously disclosed 27% to 30% range. Though it may vary quarter-to-quarter based on the factors I just mentioned. Our balance sheet remains strong with cash and investments totaling $735 million as of March 31. We repurchased $52.4 million of our stock at an average price of $567 per share during the first quarter. Even though there are fewer shares outstanding and trading as a result of these purchases, our diluted weighted average number of shares increased 422,000 shares as a result of more options being in the money given the higher share price. This negatively impacted EPS by $0.05 in the quarter. In closing, we're encouraged by our Q1 results and the progress we're making against our strategic growth plan. We know that [Multiple Speakers] initiatives, many of which are in the early stages will help drive sustainable, long-term growth for Chipotle. This will benefit our guests, our employees and our shareholders, and it will allow us to have a positive impact on how real food is sourced and made accessible, contributing to our vision of cultivating a better world. And now, we're happy to take your questions.
Operator: We will now begin the question-and-answer session [Operator instructions]. Our first question comes from Sarah Senator with Bernstein. Please go ahead.
Sarah Senator: I have a question about delivery, if I may. And first part is just, you’ve seen an inflection point, I don't think we've observed in any other limited service in terms of launching delivery and really seeing a change in comp. So I was wondering if you could maybe talk about what you think might be distinct about your context for what you're doing, where you could see that level of incrementality that we're not really seeing perhaps elsewhere. And then just on the margin side, you said it is accretive to margins but then also called that that was a cost headwind. So could you talk a little bit about that? And if there's any opportunity to perhaps lower the cost and delivery, whether it’s the take rates that aggregators have or something else? Thanks.
Brian Niccol: So, we’ll answer both of those questions. So your first question, why do we believe Chipotle is a great solution with respect to delivery. I think it's as simple as our food really travels well in the channel. And then when you think about the time and the ease of access to actually get your order in and then the amount of time that it takes for your food to then get you is some of the best in that space. So we're basically removing a lot of obstacles for people, because the app experience or the web experience, I think is one of the best out there. So it's very easy for people to place order. And then when you look at the time for people to get their food from orders at home, again, it's one of the best alternatives out there for that space. So time and time here is delivery drivers love delivering Chipotle food, because of our smart pickup times. So they know the food be ready when they walk into the restaurants, they grab it off those pickup shelves and they go. And there's literally no wasted time in the process. And that's we're going to continue to work towards is removing all the friction so that these deliveries become as efficient as possible. In regard to your question on the margins and incrementality, we continue to see as we give people more access, we get more incremental business. And delivery is one of those occasions that is proving to be highly incremental for the Chipotle business. And on the margin side of things, we are continuing to see with that high level of incrementality it results in a margin accretive proposition. Jack, I don't know if you want to add anything.
Jack Hartung: The only thing, Sarah, when we look at delivering, we take the sales. Some of it is trade off that we think is coming from in-store to delivery. Most of it, we think at least two thirds is incremental. But we take our costs associated with that business. So we separate it as a separate business and we've got our food costs, our labor costs and you factor in the delivery costs as well. Our second make line is very, very efficient and our incrementality, our model drive a high margin incrementality, that the margin that we get on the delivery business is higher than the 21%. So if we didn't have delivery, we would not have delivered the 21% margin. Now, I called that out in other that we do have delivery fees in there. So you're going to see that line item is going to be higher. When you take the whole P&L of delivery together, we're generating net incremental margins at a higher than 21%.
Operator: The next question comes from Nicole Miller with Piper Jaffray. Please go ahead.
Nicole Miller: Thank you. Good afternoon and congratulations. If you could think about same store sales performance and rank the drivers, it does sound like delivery is number one. But I'm just wondering what TV marketing in past you would suggest there was on comp. And then in terms of delivery, when you think about the 15% or so of sales in delivery, how much was going to your app? And how much is going through other third party marketplace sites? And besides having the ability to keep your data when it comes to your app, what are some of the other economic differences?
Brian Niccol: The first piece I just want to clarify the 15.7% is digital. So that's percent of sales in digital. Within that 15.7%, delivery makes up a certain percentage of that. So I just want to make sure if you guys understand the 15.7% it's not a delivery percent of sales, that's our total digital percent of sales. To go to your first question though, the breakdown between the various levers that drove comp, and I really think we just had a lot of things working in unison that we're building nicely on top of each other. You have the marketing, which I think was very visible with some smart menu innovation around these ideas of lifestyle goals. And then we've got very positive response to advertising, which I think reinforces why Chipotle is a different restaurant company there is real ingredients, real cooking techniques that brings food really fresh to you at tremendous speed and tremendous value. So I think that is coming through loud and clear. And we know that is a compelling message for people to be excited about being part of the Chipotle business. The other piece, obviously, is our digital business. As we continue to make access easier, so there's mobile pickup shelves giving to more restaurants, the digital make lines giving to more restaurants. We just execute that much better than we did the prior week. And what we're seeing is consumers love the app experience. They love the new website experience. And that's resulting in them committing, I think more and more to this easier access approach through the digital channel. Many layer in the idea of delivery, which our delivery times are usually below 30 minutes. And what we're hearing from folks is they love obtaining that new point of access as well. I think we're also one of the only companies out there that has delivery boat in our own app, and is using a third-party partner like a DoorDash or those that are delivering for us. And what we're seeing is no overlap between the two access points. So they're proving to be two different occasions and which is really terrific news. And we have built strong relationships with our partners where we're able to use data smartly to inform what we do next, as well as in the data reflecting internally. The other thing too is the rewards program got started. And one of the things that's terrific about the rewards program is we see another level of engagement into our digital system. So you see even more commitment to the idea of digital ordering, as well as all these additional access points. So the last thing too is I would tell you our operations. If you had a chance to be in Chipotle lately, I think they have really improved versus where we were three months ago, six months ago or even nine months ago. Our crews are staffed they know about how to make great food, they're doing line testings, the restaurants look great. And we're making progress on throughput. So when you think about all the initiatives that are going on, our operations, I think are operating at a higher level than they have in the past. I think our digital system is more robust than it was in the past. And I think our marketing is much more on point and much more visible. So it's hard to distinguish one versus the other. I really think it is all those things working in unison, and that's why we get that 9.9% comp.
Operator: The next question comes from David Tarantino with Baird. Please go ahead.
David Tarantino: Just a couple of questions on the sales trends. Jack first can you maybe talk about how the comps trended through the quarter? Was it a gradual build or any color you could add there would be helpful?
Jack Hartung: So we started the quarter very strong. We had the free delivery bowls that continued into January. Then we had Lifestyle Bowls as well. There was a lot of talk about the Lifestyle Bowls. So the quarter started out very, very strong. We had weather then in the middle of the quarter, and then things rebounded near the end of the quarter. So there's a lot going on in the quarter. It was overall relatively steady if you factor out some of the weather. But we did start out -- like I said, we started out very strong and then settled into nice gains for the quarter with the exception of the weather during the middle of the quarter.
David Tarantino: And then, Brian, you mentioned that the guest experience surveys that you run have responded well to the operational improvements you mentioned. So I was wondering if you could perhaps elaborate on where you are now on whatever metric you're measuring versus where you were three or six months ago. And how much you think that might be influencing the trends that you're seeing relative to some of the more tangible drivers you talked about?
Brian Niccol: So one of the biggest things that we've seen make the dramatic change is just the feedback on the food testings. And I think that's a direct result of our teams being basically focused on ensuring they’re creating great food and they are doing their line testings. And so one of the examples I'd give you is what we seen in customer satisfaction surveys is people are commenting on how great the food tastes again. And I think that is a testament to a couple of things. You don't end up with great food unless people make the food correctly. And you don't end up with great food if, when you sit down and go to eat your food that’s not in a great environment. So all those things I think help build the idea that this food was terrific. The other thing that we're seeing in our customer satisfaction surveys are people just are getting us high marks on overall experience versus where we were in the past. So is a customer satisfaction survey is the best way for us to get that feedback, and we're very excited about the momentum we're seeing in those key metrics.
David Tarantino: And then just a quick follow up. Brian, I know you shared some throughput metrics in the past related to your peak 15 minute intervals. And I think the last update you gave us was 25 transactions in the peak on average for the change, and it used to be 35 before all the issues. So can you maybe just give us an update on where you are heading into the peak season here on that metric?
Brian Niccol: So I think I made comment in my early remarks. We're seeing some improvement on that mid 25, that mid 20s number. And we're excited about the improvement that we've seen. We're not I think done getting better on this throughput front. We're obviously not close to that mid 30 number that you referenced, David. But we're definitely making progress from the mid 20. And I think this is going to be one of those things that overtime we just continue to get better at. This is element of having teams in place with some stability with the right leader in place, so that they really get into a rhythm of great throughput. But early indications, we're making some progress on this front already. And we're excited because there's still so much headroom to get us back to where we were.
Operator: The next question comes from John Glass with Morgan Stanley. Please go ahead.
John Glass: First, can you just comment, Brian, little more about the loyalty program? How does this fit in as you think about comp drivers? And you talked last quarter about a material step up in trend when you did delivery and activated digital? Did it result or is it too early to tell if this is also resulting in another step function up in sales? Or does it taking longer to engage consumers given it take some time to clear the points?
Brian Niccol: I think John it's going to take a little bit longer for us to see the direct impact. What we are excited about though is I think I said this in the past. One of the big request from our consumers was a rewards program. We've rolled out a rewards program and now we've already got 3 million people enrolled. And we're just getting started with using that information to then smartly market to those individuals. So there're few things that are going to be happening over the next year. We're going to continue to build that enrollment. And as you build that enrollment, it gives us a bigger universe then to create the right programs to incentivize behaviors and hopefully change behaviors associated with it. But I don't think we've seen the impacts yet from the rewards program, because we're just getting started with the enrollment and we're frankly just getting started with doing some targeted marketing leveraging that.
John Glass: And if I could, just one follow up on labor, Jack. Is my calculation is labor dollars per store ran a bit higher than what you would call your wage inflation about 6% versus wage inflation of 4% to 5%. And if that's right, is this just the cost of higher throughput and higher volumes in your stores? Or is that the right way to think about labor dollars per store going forward if your conference are at this new higher run rate?
Jack Hartung: John, our labor was really outstanding during the quarter. Our teams staff and deployed had about the right level. They certainly didn't have more hours than we would have expected of anything. They were a little more efficient than we would normally shoot for, but we had a burst in volume. So when you have that 9.9% and you should think about the comp as being at 10.3%, because that deferral means we had customers that came in they are paying customers and so it's a journal entry to take us from about a 10.2% or 10.3% down to a 9.9%. And so our folks had the right amount of labor. The way I would think about it, John, is we levered labor by over 100 basis points. We also dealt with about 100 basis points or a little more in terms of wage inflation. And so we had to cover the 100 basis points of wage inflation, and then we levered another 100 basis points. And we only had a modest price increase. So I think our labor is outstanding. And I think if we stay at these sales levels so we should stay at this labor level.
Operator: Your next question comes from Jeffrey Bernstein with Barclays. Please go ahead.
Jeffrey Bernstein: I just wanted to follow-up on the Chipotle Rewards Loyalty program, it seems like 3 million members is pleasing to you relative to perhaps your internal expectation. And I would assume you therefore have customer information now in these 3 millions. I'm wondering if you can go into a little more color in terms of how you'd measure ultimate success, whether how that membership compares to what you think that your total unique users? And Brian, you mentioned the one-to-one marketing. I’m just wondering how we should think about that playing out in terms of using the data to effectively market to those loyal users?
Brian Niccol: So I think that is one of the most valuable pieces of the rewards program is it creates a different type of engagement and relationship with our customers. What we saw in our proof of concept or our test markets is this data, when we turn it into communication, is able to incent behaviors. And we do see behavioral changes, so light user becoming a medium user, a non-user becoming a light user. And you see people moving the various cohorts. We’re early days. We haven't even had for a lot of -- we have 3 million people, which we're delighted about but those are coming in on a daily basis. So we even had a chance to market with these folks on a couple months basis here, so it's really early. But I think the positive is we've got a lot of evidence that consumers want to be a part of it. And we've had evidence in our test markets that when we use the data smartly with them, we do see behavioral changes that results in a positive outcome for our sales group.
Jeffrey Bernstein: And then just to clarify, you mentioned the digital sales being, I think you said just shy of 16%. But I know you mentioned that some stores obviously doing a whole lot better than that. So I'm wondering if you can maybe give some perspective in terms of the range across the country in terms of where you’ve seen the greatest success and how you’d measure the -- I guess the incrementality of those sales relative to more traditional sales?
Brian Niccol: So we've seen where we've got the full digital system in place, definitely higher percent of sales going through the digital channels with higher sales in general. And I think we've even talked about this. Another example is the Chipotlane where you really have added another level of access, and this is why we're continuing to expand that test. We've seen percent of sales for digital touch 30%. So we're very optimistic that there still is a lot of growth to be had. And a lot of that growth is incremental to business. So we're very optimistic about continuing to drive this access point and ecosystem.
Operator: The next question comes from John Ivankoe with JPMorgan. Please go ahead.
John Ivankoe: I was hoping to understand the experience of the stores that have had the pickup shelves, and the digitally enhanced second make line the longest. Has there been a significant labor opportunity on a given number of transactions that can be realized in those stores versus other stores that have newly implemented those projects, or perhaps even best said, the stores that don't yet have those projects?
Brian Niccol: I mean, what is definitely true is the most valuable transaction is an order ahead, whether it's in mobile or website, and then that consumer comes in and picks it up from the shelf, because obviously that leverage is then the digital make line, which requires less labor to run. And then, obviously, that transaction usually comes with a higher ticket as well. So that is the most valuable transaction for us to grow. One of the things I love about the Chipotlane test is it gives them more access to that highly valuable transaction, because they order ahead and now they don’t have to even get out of their car to have an experience with a burrito bowl coming off our second make line. So there's a lot of upside in getting more and more business to that second make line just from an efficiency standpoint and then obviously the consumer just key at which they can get to their burrito bowl.
John Ivankoe: And then secondly and I think this was touched on briefly. Some of the broader supply chain work that you've been working on. I mean if we could have an update on some timing and potential benefit on that, especially if you look into '20?
Brian Niccol: So we're early days on this and we already started to see some benefit in the quarter. Their focus is obviously to continue to be as efficient as possible without making a trade off on the quality and our commitment to our integrity price goals. I don't know Jack if you wanted to add anything to that.
Jack Hartung: John, I think the headline is it's too early. Brian is right that's our highest priority. We're also keeping ourselves busy just by keeping up with the growing volume. And we're seeing theoretical opportunities, efficiency opportunities, but they take time. We've got contracts. We've had a lot of suppliers. And so I would expect that we'll be able to -- if we don't see the benefit flow through later this year, perhaps in the fourth quarter, we'll at least have better visibility and we can tell you what those might look like going forward.
Operator: Your next question comes from Jake Bartlett with SunTrust. Please go ahead.
Jake Bartlett: Jack, I have a question about G&A. And you gave us the underlying I think $72 million run rate continuing. I'm trying to understand the stock based comp. And I believe you mentioned $25 million, but that also included bonus accruals. I wasn't sure if that all was really the stock based comp. And then if you hit your guidance, if the current guidance is hit. Is that $25 million pertain for the rest of the year, because that’s the right run rate for that, for bonus accruals and stock based camp. And then built into that question, there was a big impact on the tax rate with the $25 million. Would the tax rate go down as well to offset some of it? I'm trying to get a better idea of what the G&A could be for '19?
Jack Hartung: Well, first of all, let me try to piece that -- tear that apart. The $25 million of that $19 million relates to our stock comp. And of that $19 million, about $2 million is an adjustment to stock comp, because we had better performance. We have, as we disclose in our proxy we, over the last couple of years, have emphasized more PSUs performance shares. Those performance shares will be marked each quarter based on how we actually perform. If you follow us historically when we've issued [indiscernible] as our option, those are fixed accounting and they don't change quarter-to-quarter, doesn't matter what our performance is, doesn't matter what the stock performance is. So it's a different animal that aligns better, we think the incentives with creating shareholder value. But it's going to have variable accounting and we're going to have drones entry that are going to happen throughout the year. The other 6 million relate to the higher bonus accrual, because of our performance. And that's going to be a cash bonus based on how we perform each quarter. And so if we continue to perform at this level, there will be higher bonus accruals. And then another element in there is that because our stock has performed so well, we've had an increase in the number of stock option exercises. And we have to pay payroll taxes on those, those are very difficult to predict when those are going to happen, also difficult to predict what the stock price is going to be. So there's going to be a number of things that are going to be not part of our core. The G&A this quarter didn't have to do with extra headcount, didn't have to do with extra travel, didn't have to do with anything from an ongoing basis that we need to continue to spend to support a restaurant. But these are incentive based things that are going to hit based on how we perform throughout the year. Difficult to predict exactly what the number will be, I think the best way to think about it. Underlying is about $72 million and underlying means that’s our headcount to support our business, that's the travel, that's the outside services to support our business. There's a base layer, I would say, of about that $17 million stock comp that if we had fixed accounting that $17 million would not change throughout the year. And then on top of that, we're going to have amounts that will vary depending on our bonus accrual, and that will be performance based depending on the PSUs and that will be performance based on margins and what our stock comp is. And then to the extent that our folks exercise option, the stock price remains high, there may be some payroll tax impact as well.
Jake Bartlett: And then you just secondly, Jack, you’ve mentioned in the past, just your last call, a framework around AUVs and what AUVs could have a given restaurant level margin. I had trouble getting there. And so I'm just wondering when you talked about last call 2.2 million in AUVs and 22% restaurant margins. Is that still -- or does that include inflation going forward? Is that if you were standing right now with your current cost structure, and you have those higher AUVs that's what your margin would be? Trying to understand whether that's really how we can frame that target and mesh the two with those AUVs?
Jack Hartung: Jake, it's more of a standing still. And in fact, we're right on the money right now. Our trailing 12 month average volume is 20% -- $0.5 million -- $2.05 million we're at 21% margin during this quarter. And what I've talked about is $2 million you’re at about a 20% margin, $2.2 million you're at 22%. The way I would think about it from here, if we layered on $100,000 worth of incremental volume as of today, our margins at 21% during the quarter, would be -- that extra $100,000 would be a 22%. Now, over time inflation is going to have an impact there. We have to either offset inflation through modest price increases and/or leverage from higher sales. But as long as we're able to offset inflation over time, our model has the ability to expand margins at about 100 basis points to reach $100,000 of sales added. And I think probably the most important thing is we've been able to do this as our delivery business is growing dramatically, and we know the industry that's been a real challenge. We think we're uniquely suited with the second make line and efficiencies we drive with that second make line, and our model that inherently allows us to create leverage -- margin leverage as we grow sales. We're very optimistic that the more we add delivery sales to our business that margin has the ability to continue to drift upward.
Operator: The next question comes from Andrew Charles with Cowen & Company. Please go ahead.
Andrew Charles: Jack, I had a two part question for you. You called out projected year-two cash-on-cash returns and a low 40% range. Obviously, very stellar return. Do you think there's going to be a delta between the 2018 and 2019 cohort? That 2018 development skewed to some of the higher volume markets, or are you testing some the higher cost towards that in 2019? And then secondly is the low 40% returns, is that a strong enough hurdle to justify accelerating development back to call it the 250 openings per year you opened at the peak?
Jack Hartung: First of all in terms of 2018 versus 2019, I mean it's early. It won't have 15 restaurants in so far. But I don't see any reason why 2019 performance wouldn't be similar to 2018. Meaning similar volumes, similar margins, similar returns. It does suggest that we have opportunity to step it up and open up more restaurants. We know that we're only halfway to our ultimate potential. We're about 2500 restaurants now with the ability to get to 5,000. So it suggests that we can step it up but we're going to do it the very thoughtful way. This is not going to be -- we're going to blow the doors off and go from -- our guidance this year is 141, 155, we're not going to all of a sudden open up two or 250 or something like that. What's most important is that we open at a pace that we're able to find great real estate that'll continue to generate these returns that we'll be able to hire, and develop and staff, our restaurants with great managers and great crew. So we'll have the right cadence going forward. But I do think you can expect us to take our opening guidance up each year in an incremental fashion. Too early to say how much that will be in 2020. But we're optimistic about the results and we'll step it up from here.
Operator: Your next question comes from Gregory Francfort with Bank of America. Please go ahead.
Gregory Francfort: The first question is G&A in a longer term basis? Maybe can you help frame up how you expect that to grow versus revenue? And then the second question just on the unit opening cadence within the year. I think last quarter you'd given us that the second quarter was going to be around 25% of openings for the year. Is that still the case or is it different from that?
Jack Hartung: What was your first question?
Gregory Francfort: I was just -- your G&A on a longer term and leveraging it versus revenue growth…
Jack Hartung: The underlying G&A, and I have to emphasize underlying G&A. Underlying G&A will grow at a lesser rate than sales growth. That's our goal internally. And I know we can achieve that goal. From a stock comp standpoint, we're going to have journal entries. Remember, these are journal entries, and these journal entries are different today, because we have PSUs from the journal entries we would report three or four years ago when we had slow start. Even though we're issuing equity, even though there's solution related to this equity, the accounting treatment is dramatically different. And so it's important to understand that these journal entries that we're making, it doesn't change our cash flow, it doesn't change our cash and cash return but it does going to show up in our G&A through these accounting journal entries. The underlying G&A and that's the headcount, the travel, the outside services that we use to support our restaurants, we do plan to grow that at a lesser percent of sales. And then we're going to have cyclical things like we're going to have a quarter where there's a lot of option exercise and we're going to have a blip in payroll taxes. That's not a sustainable fundamental thing that will continue every single quarter. And we're going to have -- when we have great years like this or great quarter like this, you're going to have bonus accruals. But the idea there is that will be a match along with our improving out the economic model. And it really sets up sets us up for continued momentum, both in our sales, our margin, as well as EPS.  And then the second question was I think on opening. I think I mentioned in my comments, Q2 will open up at a little bit more than the 15 that we opened up in the first quarter. So this is going to be one of those years where we're pretty more heavily loaded in the second half of the year than we've been in quite some time.
Operator: The next question comes from Will Slabaugh with Stephens. Please go ahead.
Will Slabaugh: I had a question on menu innovation. And what we've seen in the past is when menu innovation that generally uses ingredients already in store. Should we expect future menu innovation rather to mostly take that same form, or is there room to broaden SKUs in the restaurant at this point?
Brian Niccol: Yes, you're going to see us doing both. Obviously, what we did in the first quarter was leverage existing ingredients that were already on the line. But I think I've mentioned this before, we're using our stage-gate process to evaluate either new ingredients and/or new forms to bring into the restaurant. And one of our key criteria in order to bring in a new form or an all new ingredient is it can't have an impact on throughput. So the consumers going to love it, it's got to work financially but it also has to work for our operating process. And so as a result, it's going to take a little longer time to bring things to market that are either a change in process or require new equipment or a new form versus it's much easier to do things like a new ingredient or introduce people to a new way, or a new Lifestyle Bowl, like we did in the first quarter. But the plan is to do both.
Operator: The next question comes from Howard Penny with Hedgeye. Please go ahead.
Howard Penny: My questions on delivery. Is Georgia's funding part of the delivery or are you funding all of the delivery costs? And if you are given all the benefits that you're seeing from delivery from a margin perspective and enhance capability of delivery. Why wouldn't you offer delivery free all the time and if not all the time, three or four days a week? Thanks.
Brian Niccol: So, obviously, delivery is one of those access modes that consumers definitely want to experience. This is a scenario where we want to set up the model to be a model that can work long-term, not just here in the near term. And long term, we can just be planning to do free delivery all the time. So really what we're focused on is, how do we build the right economic model where the consumer gets a great experience, they get a great value and as a result, they want to do it more. And I think that's what we're setting up and establishing with our key partners, whether they are doing it through our app or through a third-party.
Operator: The next question comes from Brian Bittner with Oppenheimer and Company. Please go ahead.
Brian Bittner: Jack, you said labor costs in 2Q should be in the low 26% range. And that would suggest a similar amount of leverage that you got in first quarter. So just trying to clarify. Are you assuming a similar sales trend in 2Q as 1Q when you talk about that labor guide? And second to that the full year guidance for labor, back when you talked to us last quarter, was low 27% range. But you didn't really update that this quarter for the full year. Where's that target now in your mind for full year labor costs?
Jack Hartung: When I think about Q2, I would not expect the same comp. Take into account by the full year guidance that we gave and take into account that comps get tougher each quarter. What it does mean though is seasonally our sales are higher in the second quarter. So when you move from Q1 to Q2, you naturally have a higher sales amount and you naturally have a leverage, just from moving to seasonally higher sales. It doesn't mean the comp is going to be at the same 9.9% level. The other thing I would expect that labor for the year is going to be somewhere in between these two levels. I mean, you got 26.7% in the first quarter. Fourth quarter seasonally is very similar. And the two quarters in the middle should be similar where you're in that low 26% range. So I think somewhere between the low 26% to the 26.7% we just delivered, I think that's a fair estimation of where labor should fall. And what we shown in this quarter, we have labor at that level. And as long as we don't have as long as things like avocados normalize we could deliver this strong comp in the 20%, 21% range or so.
Operator: And the next question comes from Brian Vaccaro with Raymond James. Please go ahead.
Brian Vaccaro: Just two quick ones on delivery, if I could. Would you be willing to ballpark what percent of digital sales is coming from delivery? And also curious what percent of orders are coming through the company app versus the DoorDash or other third party platforms? And did that move much since the launch of the loyalty program over the five or six weeks?
Brian Niccol: We're not going to break out the composition of our digital sales but with obviously to be up 100% year-over-year. We're seeing great progress in all aspects of the digital system, whether it's order ahead delivery. Consumers continue to want to have access digitally and then they want to have access where it's either brought to them or they can get it quick. So that's working very nicely. And then adding rewards, I think I mentioned this before. One of the things that's great about the rewards program is it's another level of engagement in this digital system. And we have continued to see when people become engaged in the rewards program, they become even more engaged in our digital system. And you see an uptick in our digital as a percent of sales as well there. So it really requires all these things to be working in unison. We got to have the pickup shelves, which I'm happy to say we now have that have in other restaurants, the digital make line, which we're in 1,300 rec up there we'll be finishing that up in 2019. And then the rewards program is in the early days as well where we've got 3 million people already engaged. And then we're giving them the access that they want, whether we're testing our Chipotlanes or letting DoorDash or a third party like that deliver to them at their home. So the digital system is a powerful growth driver for the company going forward. And it's consistent with the strategy that I've shared with you guys. So we're really excited about the early innings of all this stuff.
Brian Vaccaro: And then shift into the commodity outlet, Jack, the 33% that you gave for the year. I'm just curious, what's the underlying inflation embedded in that forecast? And just are you assuming that avocados stay where they are currently after this recent run up? Or any other puts and takes on what you're seeing on core proteins and/or other areas that we should be mindful of? Thank you.
Jack Hartung: We're seeing just a little bit of inflation in some of our [indiscernible]. Most of the commodities that we're looking at look pretty benign. The real story the only call out is significant call out is avocados. We're paying a lot more right now. That's why second quarter food costs going to be about 100 basis points more. We'll update you when we update you for the second quarter, hopefully that will ease a little bit as you move into the third quarter. We do expect it to go back to normal once we move back to away from California in the fourth quarter. But avocados are a tough thing to predict. Other than avocados, most other things are pretty modest, very low single digit inflation. And so that's why we think we can stay in this 33% range overall for the year.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brian Niccol for any closing remarks.
Brian Niccol: All right, thank you. And thank you everybody for taking the time and the questions. I just wanted to remind folks, I think the strategies that we outlined over a year ago, we're starting to see the impacts of the execution around that strategy, whether it is making the brand more visible with culturally relevant marketing and menu innovation, or making the restaurant experience more digital with the roll out of our mobile pickup shelves, the digital make line, the delivery partnerships and now the rewards program, to operational improvements focused on great hospitality, great food, a great environment and then ultimately, terrific throughput. And then obviously, we're going to continue to work hard to improve this economic model, which is I think one of the best in the industry through being smart and being efficient and prudent in how we choose to spend our money. And then the key piece too is we want to continue to drive home access for Chipotle, whether that means physical access to more restaurants, more digital access through the various channels that I’ve talked about earlier. But we want to have Chipotle solve people's needs for how they want to eat in today and in the future. So very proud of the team and the results that we achieved in Q1, and very excited that we continued down this strategy, and continue to execute with excellence going forward. So thank you for your time. And we'll talk to you all soon. Take care.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.